Operator: Welcome to the Ardagh Metal Packaging S.A. Quarterly Results Conference Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Mr. Stephen Lyons, Head of Investor Relations. Please go ahead.
Stephen Lyons: Thank you, operator, and welcome, everybody. Thank you for joining today for Ardagh Metal Packaging's Fourth Quarter 2025 Earnings Call, which follows the earlier publication of AMP's earnings release for the fourth quarter and the full year. I'm joined today by Oliver Graham, AMP's Chief Executive Officer; and Stefan Schellinger, AMP's Chief Financial Officer. Before moving to your questions, we will first provide some introductory remarks around AMP's performance and outlook. AMP's earnings release and related materials for the fourth quarter can be found on AMP's website at ardaghmetalpackaging.com/investors. Remarks today will include certain forward-looking statements and include use of non-IFRS financial measures. Actual results could vary materially from such statements. Please review the details of AMP's forward-looking statements disclaimer and reconciliation of non-IFRS financial measures to IFRS financial measures in AMP's earnings release. I will now turn the call over to Oliver Graham.
Oliver Graham: Thanks, Stephen. 2025 was another year of strong performance for AMP, underpinned by shipments growth of over 3%, a favorable product mix and solid operational delivery. Our performance drove year-over-year adjusted EBITDA growth of 10%, which significantly exceeded our initial guidance. Our tight focus on cost control generated meaningful operational and overhead cost savings in the year. Our teams navigated the complexity of evolving demand patterns, both in terms of category mix and can sizes to position our capacity to support our customers' growth. From a balance sheet perspective, we ended the year in a robust position with nearly $1 billion of liquidity. In the fourth quarter, we successfully raised $1.3 billion of green bonds, which Stefan will talk about in further detail later. Our strong performance in the Americas was driven by significant growth in North America volumes of 6% for the full year and favorable mix through the high-growth energy drinks category, which more than offset the impact of softness in the Brazilian beer industry. In terms of European performance, operations and overhead cost savings as well as shipment growth in carbonated soft drinks and other growing categories offset the anticipated metal input cost headwind. In each of our regions, the beverage can continues to take share from other packaging substrates, advantaged by the cans convenience, branding potential, total cost of ownership and sustainability credentials. This supports a continued positive outlook for global industry growth. Turning to AMP's Q4 results by segment. In Europe, fourth quarter revenue decreased by 1% to $539 million or by 6% on a constant currency basis compared with the same period in 2024, principally due to the impact of a negative IFRS 15 contract asset, partly offset by favorable volume mix effects and the pass-through of higher input cost to customers. Shipments grew by 1% for the quarter with good growth in carbonated soft drinks and across our diverse range of growing categories as well as in the energy category. This was offset by a decline in beer shipments, which reflected a weaker industry backdrop as well as strong shipments in the prior year. For the full year, Europe shipments grew by 2% with growth in nonalcoholic beverages offsetting a flat performance in beer shipments. Indeed, the broad-based gains across growing categories such as ready-to-drink teas and coffees, canned wines, water and juices is testament to the ongoing innovation in the European beverage can market and to AMP's success in supporting this growth. We expect this growth to continue, helping to further diversify AMP's portfolio. Fourth quarter adjusted EBITDA in Europe increased by 14% versus the prior year to $64 million, ahead of expectations. On a constant currency basis, adjusted EBITDA increased by 8%, principally due to higher input cost recovery, which included a positive benefit from metal timing effects and favorable volume mix, partly offset by higher operations and overhead costs. Full year adjusted EBITDA of $272 million further underlines the region's improving profitability. In 2026, we expect to grow volumes by around 3% in Europe, broadly in line with industry growth. Capacity remains tight in the region, and we are therefore optimizing our network to better serve higher demand can sizes for faster-growing category. We continue to review opportunities to support our customer growth, and we are progressing plans to add additional capacity in the attractive markets of Spain and the U.K. on a measured basis over the coming years. Both projects will add capacity into existing facilities with the related moderate increase in capital expenditure to be spread across financial years. These projects are underpinned by our favorable market positions and our confidence in Europe's growth outlook, supported by the cans low penetration rate, its attractive sustainability credentials and the previously mentioned innovation trends. Beverage packaging scanner data across each of the markets in which we operate highlighted several percentage points of share gain in 2025 for the beverage can versus glass in the beer category and versus plastic in carbonated soft drink. In the Americas, revenue in the fourth quarter increased by 24% to $807 million, which reflected the pass-through of higher input cost to customers, including the impact of the higher Midwest premium in North America as well as shipments growth. Americas adjusted EBITDA for the quarter was ahead of expectations with a 6% decrease versus the prior year to $102 million due to higher operations and overhead costs and lower input cost recovery, partly offset by favorable volume mix effects. In North America, shipments increased by 9% for the quarter despite the company having to navigate some supply chain disruption. For the full year, AMP shipments grew by 6%. AMP's strong growth and outperformance in the year versus the market reflects our favorable customer and category portfolio mix weighted towards nonalcoholic beverages and in particular, our exposure to the high-growth energy category that represented 16% of our North America sales last year. Sparkling water is another notable category that performed well, which represented 11% of our portfolio. By contrast, beer represented only a mid-single-digit percentage of our portfolio. Looking into 2026, we expect industry growth of a low single-digit percentage. As previously indicated on our third quarter results conference call, we expect some softness in North America for AMP following some contract resets largely related to specific footprint situations. We anticipate 2026 being a transition year with a small volume decline before we expect to return to growth in 2027, at least in line with the industry on the back of additional contracted filling locations and our attractive portfolio. Retail scanner data so far this year is encouraging for continued beverage can industry growth into 2026. We would note that during the first quarter, some of AMPs in our customers' operations were negatively impacted by extreme adverse weather, which we assume we recover during the quarter. We also continue to manage a tight metal supply situation after disruptions in one of our major suppliers' rolling mill facilities. This is causing operational challenges, and we incurred additional costs in Q4, which we anticipate will persist through the first half of the year, ahead of the restoration of capacity as well as the ramp-up of new domestic supply. In Brazil, fourth quarter beverage can shipments decreased by 4%, which represented a sequential improvement versus the third quarter but lagged the improvement in industry performance due to customer mix. Full year shipments declined by 2%, in line with the weak overall industry volume, reflecting consumer weakness and adverse weather during the winter months. Encouragingly, industry data confirms that the beverage can gained an additional couple of percentage points of share in the beer packaging mix in 2025, in line with long-term trends. Looking into 2026, we expect industry growth of a low to mid-single-digit percentage and for AMP's volumes to broadly track the market. I'll hand over now to Stefan to talk you through our financial position for the quarter before finishing with some concluding remarks.
Stefan Schellinger: Thanks, Ollie. We ended the year with a robust liquidity position of $964 million and net leverage of 5.3x net debt to adjusted EBITDA. The expected increase in the net leverage metric reflects the impact of the successful $1.3 billion equivalent green bond financing, which we closed in December. As a reminder, the proceeds of the financing were used to repay $600 million of notes due in June 2027, to repay the senior secured term loan of EUR 269 million and to redeem the preferred shares of EUR 250 million. The headline leverage metric has increased as a result of the financing and the redemption of the preferred shares with debt. This refinancing has provided several benefits, including the lengthening of AMP's debt maturities with no bonds now maturing before September 2028, simplification of the capital structure, and an annual cash savings of approximately $10 million as the higher annual cash interest is more than offset by savings related to the previous annual preferred share dividend payments of approximately $25 million. We generated adjusted free cash flow for 2025 of $172 million, which was ahead of our guidance. During the quarter, both S&P and Fitch took positive credit rating action, which reflects AMP's strong operation and financial performance. In terms of 2026, we approximately expect the following for the various components of free cash flow. total CapEx of slightly above $200 million, including growth investments, lease principal repayments of approximately $150 million, cash interest of circa $220 million, cash tax of a little bit over $30 million and a small outflow in working capital. Finally, today, we have announced our unchanged quarterly ordinary dividend of $0.10 per share. With that, I'll hand it back to Ollie.
Oliver Graham: Thanks, Stefan. Just before moving to take your questions, I'll just recap on AMP's performance and some key messages. So firstly, adjusted EBITDA of $166 million in the fourth quarter exceeded our guidance range of $147 million to $162 million, with both segments performing ahead of expectations. Secondly, full year adjusted EBITDA of $739 million was significantly ahead of our initially projected $675 million to $695 million range, and this was largely driven by strong volume performance and favorable customer mix in North America as well as favorable currency movements. And finally, the beverage can continues to outperform other soft drinks in our customers' packaging mix, supporting our growth. For 2026, we are guiding adjusted EBITDA in a range of $750 million to $775 million. Adjusted EBITDA growth is expected to be driven by operational efficiencies and cost savings, shipments growth in line with industry growth in Europe and Brazil and improved category mix. We view 2026 as a transition year in North America for volumes ahead of an expected return to growth, at least in line with the industry in 2027. In terms of guidance for the first quarter, adjusted EBITDA is expected to be in the range of $160 million to $170 million, ahead of the prior year quarter of $160 million on a constant currency basis. Having made these opening remarks, we'll now proceed to take any questions that you may have.
Operator: [Operator Instructions] We'll take our first question from Matt Roberts with Raymond James.
Matthew Roberts: Ollie, Stefan, the first question, maybe on the 1Q guide, can you just talk about some of the volume trends by region that underpin that, what you've seen in the first 2 months of the year? Any impacts you've seen from weather in the U.S., either in regard to facility outages or natural gas effects or volume impacts at customers?
Oliver Graham: Sure. Matt. So yes, we take it region by region. I think North America has had a very good start to the year in our portfolio with some key customers. But it is true that January suffered, particularly in the last week with the weather effects in the south of the country where we saw some of our facilities and some of our customer facilities unable to ship product. So we did see some reduction in what we expected for January. February and March are looking like they're tracking in line or even slightly better, though we are, as we mentioned, navigating this quite challenging metal supply chain situation. So I think we're in line and scanner trends look good. The energy category is still very strong, and we're certainly seeing that in our portfolio. So that's obviously very beneficial for mix, again, within our profit performance. Brazil, the market started in good shape. So I think 2% to 3% in January for the industry. That followed a 4% Q4 performance for the industry. So a good recovery actually as we came into the summer season after the weakness in the middle of last year. And we're currently tracking ahead of that with some good customer mix. So yes, we're very positive about Q1 performance in Brazil. And then Europe is exactly where we saw it. So I think the industry is growing broadly where we saw it. We're in line with our forecast. We had a very strong Q1 last year. So we see our growth being a bit second half weighted in Europe this year. But again, we see the industry exactly where we expected it. And if you take that all in the round, I think some very positive trends. We see no negative signs of the higher aluminum costs at the moment, which I know has been commented on quite broadly, but we certainly don't see that in our numbers or in the industry numbers at the moment. So all very positive from our point of view.
Matthew Roberts: I appreciate that. Maybe on the capacity as you discussed in Europe, I seem like Spain, I think we previously discussed that last call, it seemed like U.K. might be incremental. But any additional color you could provide on the timing of when that capacity is expected to start to ramp? Any start-up costs and the related CapEx expected in '26 or '27, pending the timing there? And in Europe more broadly, I mean, some others seem to be adding in similar regions. So it seems like demand is still humming along there, but how does all the capacity inform your supply-demand, [ Oliver ? ]
Oliver Graham: Yes. Look, it feels very tight. The market at the moment. I think we think it's running potentially even in the high 90s utilization as an industry. You've seen our peers' volume performance at the back end of last year and for the full year. And we also had a decent year despite some weakness in our beer portfolio. So I think that the industry backdrop is highly constructive and you're talking about a market now of nearly 100 billion cans. So if it grows 3% to 5%, it's a couple of can plants a year that are needed. And we certainly see shortages on specific sizes right across the continent and in certain regional pockets. So I think the backdrop is very constructive. We have a strong position. We particularly have strong positions in those markets, and we have customers who are looking to grow and who need our support. So I think it's broadly in line with our share position that we're adding this kind of capacity with a line in each of those facilities. It's over the next 2 years or so, some possibly into the third year with the CapEx spread across that period. And I think we signaled a moderate increase to our overall capital guide for this year. So you can think of that as around 10% as an increase. So not very material, to be honest, as we already have some of the growth CapEx in this year. So yes, we regard these as very good projects in a very constructive market environment.
Operator: We'll go next to Josh Spector with UBS.
Anojja Shah: It's Anojja Shah speaking in for Josh, that you reported some pretty good pickup in Brazil there. What are you thinking around World Cup for this year? And what kind of pickup, if any, and when exactly you think it might hit?
Oliver Graham: Yes. I mean I think once we're in a low to mid guide, then I think we see that as broadly incorporating the World Cup effect and maybe it pushes more towards the mid. Obviously, Brazil can move very fast across the growth trajectory. We've seen it over the last few years. And so obviously, if Brazil go deep into the tournament and the weather is reasonable, then we could see some pickup. But I think we're comfortable with the sort of 3% to 5% guide for the market and that we're in line with that. But I think that should be constructive in -- obviously, in the winter season, which is helpful. So we should see some good comps versus what was a pretty weak winter season last year. And then when you get it, yes, you get it in the months running into the tournament. So obviously, there'll be some inventory build, and then we'd expect to see some sell-through as the tournament goes. So you'd expect to see it in Q2 pretty much.
Anojja Shah: Right. Okay. And then you also -- in North America, I think you did have a comment in the press release about lower input cost recovery in North America. What is that exactly? Is it stuff besides aluminum and tariffs and things that are an immediate pass-through like is it a PPI sort of index where it's a once a year pass-through? And any outlook on that...
Stefan Schellinger: Yes. So I think we referred to some supply chain challenges and operational challenges relative to the metal situation. So that then triggers some operational actions. We need to do shorter runs. We need to move volume within our manufacturing network. Some of the freight lanes get suboptimal. So it's a little bit of nonrecovered freight and a little bit of nonrecovered costs associated with those -- so let's say, a knock-on effect of those supply chain metal disruption causing operational disruption.
Anojja Shah: So it does sound like that might persist through the first half then of this year. Is that right?
Stefan Schellinger: Yes. I think that's a fair assumption.
Operator: We'll go next to Stefan Diaz with Morgan Stanley.
Stefan Diaz: Maybe just piggybacking off that last question. At the same time, you also noted in the release some operational efficiencies and other savings that you expect in 2026. Can you just give some details on the potential sizing and benefits and whether these improvements are in any specific regions or if these improvements are just maybe some of these operational challenges kind of just falling off?
Oliver Graham: No, I think that every year, we obviously make operational improvements and savings right across our network, all regions. So the normal things lightweighting the can, improving -- reducing spoilage, implementing our production system across our plants to drive best practice and lean activity. So I think we're just citing the fact that those savings are being delivered. We have set some challenging targets this year, but we expect to be able to deliver them. And obviously, that offsets some of the slight volume weakness we have in the North American business. So I think it's more a general comment right across the business.
Stefan Diaz: Okay. Great. That's helpful. And then it's been a few months since the Ardagh Group restructuring. Do you have any updates for us there? I know in the release, you said no changes to capital allocation, but any potential changes in strategy just given that?
Oliver Graham: No, absolutely not. I think AMP has got a good strategy. It's been working. You've seen the delivery in 2024 and '25 and the guidance we're giving for '26. And you've seen our outperformance in various markets and the drop-through into our profitability last year relative to our volume growth. So I certainly don't think anyone wants us to change strategy. And at the minute, as we've signaled in our capital allocation policy not changing either. So I don't think there's anything to see here in terms of changes since the restructuring transaction.
Operator: We'll go next to Anthony Pettinari with Citi.
Bryan Burgmeier: This is actually Bryan Burgmeier filling in for Anthony. I appreciate the detail on Slide 8 on the share gain in Europe that the can has realized over the last year. Are you able to maybe provide a sense of how penetrated the can is in Europe and maybe beer and soft drinks relative to North America just as we kind of think about kind of the room to run for future share gain in Europe?
Oliver Graham: Yes, much less penetrated, right? So I mean, I think that's one of the arguments why there is a long way to run. I think we think the can is 40%, 50% penetrated in North America. U.K. is the most penetrated European market sort of approaches those levels a bit less. But Germany is 1/4 of that. So we've got a long way to run. The German situation was very specific with a very poor poorly designed deposit scheme implemented in 2003 with no return path for the can. Can was essentially delisted out of retail overnight and has been on a long recovery ever since. And the German can market can grow 10% in the year. And for example, last year, there was a 20% growth number for German soft drinks in cans. So pretty dramatic numbers for a staple packaging product. So yes, we see the U.K. very strong last year, showing many of the similar trends as the U.S. with a lot of innovation going into the can and pretty strong antiplastic sentiment. And obviously, glasses had difficulties in the last few years with the high energy costs. And then the can also really demonstrating a lot of sustainability credentials with very high recycling rates, high recycled content and a pathway to a significant decarbonization through the measures the industry is taking right through the value chain. So I think you add all those things together and you get a strong set of prospects and the penetration rate just illustrates one of them. And then I think if you look at the growth rates, we and our peers have posted for the last few years and the projections we're all giving, it's clearly a very constructive backdrop for the European can market.
Bryan Burgmeier: Yes. Got it. Appreciate that. And then just last question for me, and I can turn it over is I'm not sure if we're expecting any more kind of incremental headwinds in Europe from the aluminum conversion costs or maybe any PPI pass-throughs. And if we are, can you maybe provide a little detail if those are going to be better or worse on a year-over-year basis compared to last year?
Stefan Schellinger: Yes. No, I think we are through that. I think that was really predominantly a 2025 issue though we don't expect a material headwind in that regard.
Operator: We'll go next to Mike Roxland with Truist Securities.
Michael Roxland: Ollie, you mentioned a couple of times, this is a transition year for the company, especially in North America. It seems like you lost a little bit of share to peers, but then you're gaining some new filling locations in 2027. To the extent you can comment on this form, what end markets are those new filling locations occurring in? Are they with existing customers? Are they with new customers? And how -- can you give us a sense also how you're contracted roughly for 2028?
Oliver Graham: Sure. Yes, Mike. So look, I think those filling locations are broadly aligned with our portfolio. So weighted more towards the soft drink side of the house like our portfolio. So those are principally those. There is some in beer, but then in specialty sizes, which I think is obviously where we want to be. And yes, entirely with existing customers. So these are very long-term relationships where the quality of the customer service and the relationship is driving those gains. So -- and I think it is only a transition year really in North America. I think Europe and Brazil pretty straightforwardly, just tracking alongside the market.
Michael Roxland: Got it. And then just for 2028, any early read just in terms of what you think from items?
Oliver Graham: Yes. So I think, I mean, we and our peers have commented on this, but we went through sort of significant contractual events in some of the big customers in '24, '25. So we're very heavily contracted now through the next few years into the end of the decade. And I think that's been commonly commented on in the industry.
Michael Roxland: Got it. That's very helpful. And then just one more quick one. Last quarter, and you may have mentioned this before, if you did, I apologize. But last quarter, you mentioned being tight in certain specialty sizes in Europe, close to some growth last year. You started doing some -- you intend to do some projects 4Q into 1Q that give you additional capabilities for specialty. So where do those projects stand right now? And do you know that where does the project stand? And can you remind us what capital is involved in doing that? And are you in a position where you're not going to lose additional share because you have the functionality now in specialty to meet your customer needs?
Oliver Graham: Thanks, Mike. Yes, good question. So yes, the projects in our plant in France has gone very well, ramping up again ahead of expectations, giving us more specialty capability and different specialty capability and more regional -- better regional alignment of supply to also reduce freight, reduce out-of-pattern freight. So I think that's going well. And yes, we'd be hopeful that, that positions us well for the coming season. It's clear those trends are continuing in Europe, a bit like North America with the specialty sizes growing. So we think, yes, that puts us in a better position for this year for sure.
Michael Roxland: Good luck in '26.
Oliver Graham: Thanks a lot.
Operator: We'll go next to Arun Viswanathan with RBC Capital Markets.
Arun Viswanathan: Congrats on a strong '25 and an outlook for '26. So I guess just on the outlook. So it sounds like there are some customer mix issues that would maybe push you to the lower end versus industry growth. And also, would you highlight anything else there? Are you pretty much sold out as well as maybe some of your competitors are? And then I guess also -- I'll start with that.
Oliver Graham: Yes. No, if we managed to convey that message, that's a misunderstanding. We definitely have no mix issues. We have mix gains, I think it's only North America, but I think we signaled it at the Q3 call that there were some contract resets that meant we have an overall volume reduction, actually not really in specialty sizes, mostly, largely linked to some footprint changes in the market. That's footprint on the side of our customers who were rationalizing filling locations, but also footprint as a result of new can plants that were built post-COVID and also footprint from contracts that we had entered into in the expectation of building additional capacity that when the growth came off in 2022, '23, we didn't build. So when you added all that up, there were some logical resets in terms of facilities that were closer to the new customer footprint. So that was an overall volume effect, only North America, nothing to do with Europe or Brazil. And I think what we were trying to signal in the remarks and in the release is that we see positive mix effects in '26 to offset some of that.
Arun Viswanathan: Okay. And then just a question on the metal side. So obviously, the Midwest premium is up significantly. Do you see that as potentially impacting can demand? I know there's been some substrate shift away from other substrates, including glass, as you noted. But is there -- are we approaching maybe a ceiling on that, just given some of this increase in the Midwest premium? And do you see that kind of changing or maybe even reversing at any time in the future given volatile tariff dynamics?
Oliver Graham: Yes. We certainly hope it changes because it's very extreme and it doesn't make any sense in terms of obviously, the aluminum supply chain. But -- so yes, we certainly hope that it comes back into normal ranges at some point in the future. Yes, I mean, I think that I mentioned it at the top of the call, we're not seeing any change at this point. And obviously, customers and ourselves have hedges. So we don't know exactly when people entered into hedges and when they roll off. So we wouldn't be able to sensibly rule out any impact from this. But at the minute, we don't see it. And again, there are some strong trends that are driving the growth in terms of the way innovation has gone into the can, the sort of retail shelf sets that have been put in place to accommodate that, the consumer reaction to cans versus plastics, some of the energy cost issues that we see and the overall cost issues we see on the glass side. So I think there's some big trends behind the growth of the can as well. And obviously, there may be some headwind at some point from the high aluminum costs, but we're not seeing it in the data. We're not seeing it in the market data, and we're not seeing it in our sales at this point.
Arun Viswanathan: And if I can just ask on Europe. You mentioned growing your capacity in the U.K. and Spain. What's kind of the time line? And what kind of impact should we expect that, that could contribute to your overall growth?
Oliver Graham: Yes. I mean we said, look, over the next few years, we'll -- like we always do, those projects tend to cross a couple of calendar years and so does the CapEx. And look, we're very tight. So all we're really doing there is giving ourselves the capability to grow with the market or maybe a tick ahead but broadly with the market. So again, I think you've heard pretty consistent commentary that the European market broadly is in a 3% to 4%. I think some of our peers would say 3% to 5%. It depends a bit on geographic mix, category mix. But if you're in that sort of range, and we expect to be, then we need to be adding this kind of capacity on a reasonably regular basis.
Operator: [Operator Instructions] we'll go next to Gabe Hajde with Wells Fargo Securities.
Gabe Hajde: I may have misheard you, Ollie and I apologize. Did you mention Q4 EBITDA in Europe was, in fact, better than planned on metal timing effects. And again, if I misheard you, I apologize. Does any of that carry over into the first half? And then the supply disruptions, just to be clear, it's basically isolated to some of the rolling mill issues that we're having. And if you're willing to quantify maybe the hit that you had in Q4 '25, what you're embedding in for the first half of '26, by our math, it would be maybe $5 million to $8 in the first half of '26? And then a couple of follow-ons.
Oliver Graham: Yes. I mean, Gabe, I'll let Stefan comment too, but I think that's reasonable and the lower end of that range is sort of broadly where we saw Q4, I think. So that's fair, I think. And obviously, we've given guidance, including these sorts of thinking. Yes. And then Europe, I think it was an aspect of Q4. But again, I'll let Stefan comment on that one on the metal timing.
Stefan Schellinger: Yes, I think that's exactly right. We would benefit from it, but it was not the entire EBITDA growth that was a result of metal timing.
Oliver Graham: And I don't think it's a particular impact in H1 this year, right, which is the other Gabe question.
Stefan Schellinger: Yes, I think it is. Yes.
Oliver Graham: Yes.
Gabe Hajde: Okay. So no carryover effect from metal timing in Europe that was just isolated to Q4?
Stefan Schellinger: There's no material expectation.
Oliver Graham: Yes, I mean it does depend, Gabe, as you know, a bit on what happens with LME and Midwest. So obviously, we can't be absolutely certain because it depends a bit what happens, but there's nothing material in the plan.
Gabe Hajde: Okay. And then I guess maybe to put a finer point, I mean, it sounds like we're talking about two additional lines, one in each plant in U.K., Spain and traditional yield out of those is still something 1 billion to 1.2 billion units?
Oliver Graham: Yes. I think -- I mean, we may start slightly shy of that as first phase. But again, you know the lines are pretty modular now. So you can go up in a couple of steps from slightly below 1 billion. But yes, these are the kinds of ranges we'll be in.
Gabe Hajde: Okay. And then one clarification or a point on cash flow. Stefan, I think you mentioned lease principal payments 150 this year. I think that's up pretty materially from $111 million in 2025. Is that sort of at a steady state at this point? Or does that go up again maybe in '26, '27?
Stefan Schellinger: So no, to be clear, I said $115 million, $115 million, so apologies if that wasn't clear, but it's $115 million. So it's a $5 million higher than what we've seen in 2025. And that should be a number that should be relatively steady going forward.
Operator: At this time, there are no further questions. I will now turn the call back to Oliver Graham for additional or closing remarks.
Oliver Graham: Thanks, [ Jennifer. ] So just to recap, in 2025, we reported global shipments growth of over 3% and adjusted EBITDA growth of 10%. We finished the year strongly as fourth quarter adjusted EBITDA exceeded our guidance with both segments performing ahead of our expectations. We're looking forward to a good performance again in 2026 and are guiding for adjusted EBITDA in the range of $750 million to $775 million. Thanks for your time today, and we look forward to talking to you again at our Q1 results.
Operator: This does conclude today's conference. We thank you for your participation.